Operator: Greetings and welcome to the Tupperware Brands Corporation Fourth Quarter 2022 Earnings Conference Call. Please note, today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I will turn the conference over to Doug Lane, Vice President, Investor Relations and Strategy. Mr. Lane, you may begin.
Doug Lane: Thank you, Operator. Good morning and welcome to Tupperware Brands fourth quarter 2022 earnings conference call. Joining me today are Miguel Fernandez, President and CEO; and Mariela Matute, CFO. We will be available for Q&A following our prepared remarks. Earlier this morning, we issued a press release announcing our preliminary financial results for the fourth quarter of 2022, which can be found on our Investor Relations website. Today’s release is preliminary as management completes the year end procedures and external audit with open items mainly related to tax matters.  Before we get started, please note that beginning with the 2023 first quarter earnings release, we will be changing our reporting schedule. We will continue to hold our conference call on Wednesday morning at 8:30 AM Eastern Time and the 2023 first quarter is tentatively scheduled to make a tempt. However, we will issue our earnings release the night before after the market close. We will simultaneously post a management commentary on our website, that way everyone will have plenty of time to digest the news and update models before the call. It would also allow us to jump right into Q&A when the call after brief introductory remarks.  Now, back to this quarter just reported. Let me remind you that the following discussion and our responses to your questions reflect management's views as of today March the 1st, 2023, and may include forward-looking statements. Actual results may differ materially from such statements. Additional information about factors that could potentially impact our financial results will be included in our Form 10-K for the 2022 fiscal year, subsequent filings with the SEC and in our press release filed this morning. Please review forward-looking statements disclosure on page five of today's press release. Please note that some references are being made on a constant currency basis, which reflects the application of the current period foreign exchange rate to any prior period results, enabling comparisons, excluding the impact of foreign currency exchange rate fluctuations. Please also note that all references, unless otherwise noted, are being made on a continuing operations basis. During this call, we'll discuss certain non-GAAP measures, including those we refer to as normalized measures. Additional disclosures regarding these non-GAAP measures, including explanations and reconciliations of these measures to the most comparable GAAP measures can be found in today's press release.  Finally, a replay of this call will be available on our Investor Relations website later today. And with that, let me turn the call over to you, Miguel.
Miguel Fernandez: Thank you, Doug. Good morning, everyone, and welcome to our fourth quarter call. 2022 proved to be a much more challenging year than we could ever expected. We started that year bullish on our turnaround efforts in our direct selling business. Excited to expand into new channels of distribution, and cautiously optimistic that the surge of inflation in 2021 was behind us. That confidence in our early outlook of the year led us to authorize a $75 million stock buyback in February.  Well, as it turned out, our initial positive outlook for 2022 changed quickly. Our excitement in general was dampened by a February conflict in Europe and the COVID lockdown in China in March. These events, coupled with ongoing inflationary pressures, strengthening dollar and rising interest rates, had a major impact on consumers globally, and also in our financial performance throughout 2022. But as in the past, we reacted quickly to external challenges. We made meaningful leadership changes mid-year. In the second half of the year, we took further rightsizing efforts, implementing further improvements in our direct selling compensation plans and took additional pricing actions, all while staying focused on executing our channel expansion plans. 2022, as it turned out was a real test of our results to turn around this iconic company and expanding to new channels, and make the company as big as a brand. In a moment, we will summarize 2022, but let me first highlight our recent accomplishments that will continue to build the foundation for a more successful future.  First, increase financial flexibility. Due to our operating performance last year, our financial leverage is much higher than we would like. Late last year and primarily this year, we had discussions with our banks to amend our recent credit agreement to allow us additional financial flexibility to pursue our growth strategies and at the same time to accelerate our rightsizing efforts.  The talks recently came to a successful completion and we appreciate the support our lenders continue to provide us even as market conditions became more difficult.  Second, channel expansion. Despite the difficult external environment we faced throughout 2022, we did not allow those unexpected challenges to derail us from our most important growth initiatives. We successfully launched national distribution in 1,900 Target stores in the U.S. in early October. The results exceeded our expectations as we exited the quarter with a 10% category market share. So we are carrying good momentum into 2023. While still small, B2B sales grew strongly in the double-digits in China last year despite difficult conditions out there and we look for another strong year in 2023. In fact, the number of our markets reporting B2B activity in 2022 was 22 markets. In total, we added 50 retail chain customers around the world. As you may imagine, selling products into retail chain is a very different proposition from operating a direct selling distribution model. As such, we are building a new consumer-facing company within our legacy direct-selling consumer push company. Perhaps, no better showcase for our growth strategy was the success we had in Korea last year. Korea is among the most advanced markets in the process of building an omni-channel ecosystem. In 2022, Korea surpassed Indonesia, our third largest market in the Asia Pacific region, behind China and Malaysia. In total, Korea grew 16% last year in constant currency as core sales increase in middle single-digits and B2B expansion, particularly in TV shopping added over 10 percentage points to growth. We are learning from this success and are sharing best practices in many markets around the world throughout this 2023. While it's still early days, these initiatives help validate that our growth strategy to expand the consumer access to our products beyond the direction of distribution channel.  Third, the new product introductions. We had many successful product introductions over the past couple of years that really gained traction last year. It's our goal to continue to move into new product categories, where we believe iconic Tupperware brand may resonate with consumers. Our entry into small appliances was highlighted with air fryer.  We launched air fryer late 2021 in China. Due to its success, we expanded its launch to Philippines, India, Japan, EMEA, showing similar success. Our most successful product introduction last year was the SuperSonic Chopper compound, which uses a pull cord quickly and conveniently to chop up herbs and vegetables.  New products accounted for 14% of sales last year. This year, we are moving into new product categories. First will be the cast iron cookware such as Dutch Ovens. Second, we will introduce a unique releasable silicone bags that are designed to replace the single-use plastic bags. Our system has an innovative seal system that we have filed patents for.  Every year, over 500 billion single-use plastic bags are used worldwide, which is over 1 million bags every unit. At Tupperware, we are looking to reduce single-use plastic anywhere we can.  Fourth, rightsizing. As we said in our last call, we look to spend an additional $100 million in reengineering cost over the next three years. In fact, we're running slightly ahead of scale. By the end of the program, we expect to realize more than $60 million in annual cost savings. We remain committed to rightsizing the business in further manufacturing and supply chain optimization.  And fifth, new leadership. Last spring, we hired a new CFO to help us better navigate our turnaround plans. In the summer, we hired a new Executive Vice President of supply chain to help us optimize our supply chain network and improve service levels. We are already seeing results through our successful channel expansion activities, accelerated reengineering efforts and the first facility closure that we've had in five years.  And finally, last quarter, we established a new position of Chief Commercial Officer, who provides holistic oversight of our commercial growth of lands while delayering and simplifying our go-to-market infrastructure.  Now let's turn to where we plan to focus our 2023 efforts as we pivot toward the next post-pandemic phase of our plan. First, in our direct selling business, we are phasing out the virtual storage kit that we introduced in the early stages of the pandemic. At that time, it was a way to keep the recurring engine burning during the time of limited in-person activities.  However, given this relative inexpensive price point, we found that we were attracting more discount buyers with lower retention to the brand. With the elimination of the virtual kits, we expect the pendulum to gradually swing back to business builders which should also benefit from the recent returned in-person events since that's where recognition and training is most effective.  While it is early days, we have already seen some favorable movement in those selling markets where we eliminated the virtual kits. We also expect the post-pandemic phase to benefit from increased consumer mobility, Many markets in Asia, particularly China, operate to the models where are reliant on consumer foot traffic. In these locations, consumer into our location is run by a member of our sales force to purchase our products. China had a very difficult 2022. Sales were down 27% on the year as zero COVID policy impacted consumer access to our products. Now that the government has reversed course, we expect the business in China to improve as the year progresses, but market conditions there remain uncertain. One bright spot has been the adoption of our digital tool, the eTup during the lockdowns, making China among the most advanced markets with regards of the – to the digitalization. Our initiatives for 2023 in China include, accelerating the digitalization trend to improve retention and productivity; new products launches such as casserole and cookware, on-the-move drinking bottles, and small appliances; B2B channel expansion, including e-commerce; and optimizing our cost structure and working capital to improve cash flow.  Elsewhere among our big four, the U.S. and Mexico were impacted by low recurring and overall sales force productivity, as well as lower volumes due to price increases. The U.S. was further impacted by a longer-than-anticipated adoption of our compensation plan change. Sales in the U.S. were down 19% in 2022, and Mexico was down 7%. Our focus for 2023 in the U.S. will be twofold. First, improve service both in product delivery and systems reliability. While we are entering the year with a smaller sales force, we have created a space for new members to make money from day one. So we think retention and productivity will improve.  Additionally, we believe that a greater number of in-person events, coupled with the promotional activity that increases the income to the lower level sales force members should help drive top-line growth this year.  Second, we will continue to invest in our B2B efforts in retail and home TV shopping. In Mexico, we will introduce new products in our core food storage categories such as packable freezer mate and cold savers, as well as one-touch fresh food storage containers with easy-to-close and open lids, which is one of our newest global products. This, along with an improved service should growth toward the second half of the year. Brazil ended the year with a good momentum and sales were up 15% in the fourth quarter, which we're currently expecting to carry into 2023 for the direct selling business. Added to that, Brazil is pursuing opportunities in e-commerce, loyalty programs, Tupperware stores, premium brand partnerships and retail B2B.  Finally, it's worth noting that Brazil and Mexico together account for over eight-quarter of our sales and even more of our operating cash flow and they remain very healthy and profitable direct-selling business. Now over to you, Mariela.
Mariela Matute : Thank you, Miguel, and good morning, everybody. Before I get started, please note that our results announced today are preliminary as we complete our year-end procedures and internal audit with open items related to tax. We plan to file our 10-K before the deadline of March 16. For the full year 2022, dollar-reported sales declined 18% to $1.3 billion. Excluding unfavorable currency exchange, sales declined 14%. Pricing accounted for an 8% benefit, which was more than offset by a decline in unit volume of approximately 22%. 2022 also had an extra week, which provided for about 1% of growth. By region, Asia Pacific declined 19% in local currency mainly related to lower recruiting and overall sales force activity. COVID lockdowns in China, logistics delays that impact our product availability, higher prices, and lower consumer spending in Malaysia caused in part by removal of government subsidy in food essentials.  These were partially offset by strong performance in Korea, as Miguel highlighted earlier. Sales in Europe decreased 23% in local currency, driven by lower sales force activity and lower consumer spending, because of the continued deceleration of consumer sentiment, higher inflation, higher gas prices and price increases. In addition, the segment was negatively impacted by timing of our B2B business transactions, mainly in Germany. We are encouraged that Europe is showing signs of stabilizing since the end of 2022, beating our internal forecast and started 2023 in a similar fashion.  North America sales decreased 16%, primarily due to lower recruiting and overall sales force activity, longer-than-anticipated adoption of compensation plan changes in the United States and Canada and negative impacts from price increases. We expect that the improving economic profile we began to see in Q4 will sustain in 2023. Thus, America sales increased 10% in local currency, driven primarily by Argentina from a larger total and active sales force, including from higher retention, higher productivity, as well as higher prices due to inflation.  With the trends in Argentina and the momentum in Brazil, coming out of the fourth quarter, we are optimistic about this region in 2023. Company-wide, we closed 2022 with a 18% lower active sales force than we did in 2021, which will continue to pressure the top-line for our direct selling business. While this should be somewhat offset by expansion elsewhere, those B2B channels are still relatively small as a percent of our overall business. Gross margin in 2022 was 54%, a decrease of 200 basis points from 2021. The decrease is primarily due to higher manufacturing variances and inefficiencies due to the lower sales volume, higher resin costs, and other inflationary pressures, as well as adverse product mix, partially offset by the benefits from price increases.  Gross margins were up year on year in the fourth quarter for the first time in six quarters as the benefits from our pricing actions throughout the year began to be realized.  Selling, general, and administrative expenses, SG&A, as a percentage of sales was 57% in 2022, compared with 52% in 2021, and contributing about 500 basis points increase at incremental investments in our growth initiatives, such as B2B expansion in the U.S. on the assumption of fixed cost on the lower sales and higher selling costs with a return to in-person events and meetings for the sales force.  Interest expense decreased by $3.5 million in 2022 to $31.7 million. The change in interest expense is related to a slight decrease in the company borrowing, as well as a decrease of six percentage points in the interest rate of the term loans as a result of the debt refinancing in late 2021. We note that the interest rates have risen in the second half of 2022 and the basis points spread on the debt has also increased as a result of the pricing from our recently amended credit agreement. Therefore, we will expect meaningfully higher interest expenses in 2023 than what we reported in 2022. The effective tax rate was unusually high in 2022, primarily due to the write-down of deferred tax assets that represented over 70% of our pre-tax income, as well as jurisdictional mix of earnings. We expect the tax rate to remain elevated for the near future.  In our 10-K to be published by March 16th or earlier, we will also include disclosures of material weakness in the income tax process as the company did not design and maintain effective internal controls related to the accounting for the completeness, occurrence, accuracy, and presentation of the income tax provisions, and related income tax assets and liabilities. Adjusted EPS was lower due to lower sales volumes and margins mentioned above, coupled with a higher adjusted tax rate than in 2021. Additional foreign currency was at $0.81 per share hit to EPS for the year.  Our trailing 12-month bank covenant leverage ratio was 4.9, within our recently amended maximum leverage ratio for the fourth quarter of 5.25. In our new amended credit agreement announced this week, our maximum leverage ratios increased. They are now 6.25 for the first, second, and third quarters of 2023, a stepping down to 5.75 in the fourth quarter and first quarter and second quarters of 2024, then stepping down to 4.50 for the third quarter and beyond of 2024.  There is also change in the numerator since we will no longer offset our debt balance as with net cash. For example, our 4.9 leverage ratio in the 2022 fourth quarter would have been 5.6 under the new formula. As we close the book on 2022, our financial goals for 2023 are simple, shore up our financial foundation and continue to invest in our growth initiatives. We will protect gross margins with additional price increases as necessary. We will have a laser focus on reducing our inventory levels and rightsizing our fixed cost base and optimizing our manufacturing and supply chain footprint. Meanwhile, we are investing in new products, new categories and most importantly, new ways to reach consumers as our successful entry to Target stores in the U.S. and our creation of a healthy omni-channel ecosystem in Korea have shown us. When consumers have access to Tupperware products, they choose them.  With that, we will open the line for questions. 
Operator: [Operator instructions] Your first question comes from the line of Anthony Lebiedzinski with Sidoti. 
Anthony Lebiedzinski : Good morning and thank you for taking the questions. So, first wanted to see if you guys can talk about China, what have you seen since they stopped the zero COVID policies? Have you seen any incremental improvement? How should we think about that? 
Miguel Fernandez: So, hi, good morning, Anthony. This is Miguel. So, actually, it was last week in China. The way we saw it is that when it opened up, obviously, a lot of people got sick, right? I mean, it was a little bit of a small revolution because people were taking care of their own health. But the outlook looks much more positive.  Obviously, people are coming back to a new normality. And as I said in my previous remarks, we see that China is only going to get better. But obviously, we need to wait for the consumer reaction in this next three, four months.
Anthony Lebiedzinski : Got it. Thanks for that, Miguel. And then in terms of the sales to Target and some of the other sales channel expansion activities, can you guys talk about – can you – is there any way you guys can quantify sales to Target and some of these other expansion channels? 
Miguel Fernandez: So, we – obviously, let me just start with the most important thing. We are ahead of our expectation and also Target's expectations in our initial offers with them. So it's one of the bright spots of 2022. Still, overall company, we are just initiating, obviously, our relationship with all these retailers around the world. So it's not material yet, but it's going to -- obviously, we expect high growth in that area. So that's what we can share right now.
Anthony Lebiedzinski : Got it, okay. Thanks for that. And then, just switching over as far as the new credit agreement, Mariela, what's the interest rate that we should think about as far as we update our models with this new credit agreement? And also as – just as a quick other question. As far as the tax rate, obviously, was elevated, what's kind of the right way to think about the tax rate for 2023?
Mariela Matute: Thank you, Anthony. So, before I start answering your questions, let me point out that our press release had an error in the gross profit of the fourth quarter and clarify that the gross profit for the fourth quarter, the appendix is correct and it was $196.5 million for this quarter and it was $240 million for the year ago. So let me now answer your question about interest rates.  As you have seen, the market trends, our interest rate is going to increase as a result of our bank agreement, as well as the macro trends and we expect that the trend will continue as you would – as you saw it in the Q4 results.
Anthony Lebiedzinski : Okay, gotcha, okay. And then, just in terms of the tax rate also, if you could just – obviously, this was an unusually high tax expense that you had in the fourth quarter. If you could just help us think about the tax rate here going forward?
Mariela Matute: Yes, so, for our tax rate, we expect the tax rate to continue to be elevated. In this year, we have a series of one-time items related to the valuation of our deferred tax assets. When we exclude those write-downs, the write-down was over 70% of our pre-tax income. So we are still – have plans to normalize the tax rate in the coming years. For the next year, I will expect the tax rate to be higher, excluding these deferred tax assets write-down. 
Anthony Lebiedzinski : Understood. Okay. Well, that's all I have here. I'll pass it. 
Mariela Matute: And also to complement our tax strategy, we are in the process of finalizing our strategic care plan of growing several countries and then expanding the retail channels and as we do that, it would take some time to match our tax structure to our countries where we are rapidly growing. 
Anthony Lebiedzinski : Okay, understood. Thank you. Best of luck, and I'll pass it on to the next caller. 
Operator: Your next question comes from the line of Chasen Bender with Citigroup. 
Chasen Bender: Great. Thanks for taking the question. Good morning, everyone. I'd like to start on the inventory side. Obviously, you've talked about the inventory management efforts. Can you tell us what inventories were at the end of the quarter?  And just given how much cost inflation there is been this year, is there any way to dimensionalize how much of that inventory is kind of up on a volume basis? And so, what sort of opportunity there is for you to reduce that in 2023, given that's probably going to be one of the levers you pull in staying within compliance of those new financial covenants?
Miguel Fernandez: So, I'm going to start with the – good morning, Chasen. So I am going to start with the ways we're going to lower the inventory and then I'm going to pass it over to Mariela so she can give you the exact number. So, basically, what we're doing differently this year and we started over in Q4 is that all of our promotions and all the promotional activity that we're doing, the prices that we're giving, and the incentives that we're giving to our sales force are also product that we have in inventory.  So, that has basically been proving very, very successful for us because they get a gift and they can resell the gift, and they actually earn even more money than what they were expecting. And again, this is one of our top priorities, to lower the inventory so we can untrap that cash.
Mariela Matute: And if I can complement with the numbers, we ended the quarter with $250 million of inventory, which was down for about $230 million a year ago and the trend continues to repeat - we have plans to repeat that reduction in the coming quarters. 
Chasen Bender: Got it. Thanks for that. And just kind of staying in the vein of inventory and cash management and as it relates to the updated credit agreement. Obviously, you've said that you expect to remain compliant and clearly, with the amendment, you've got a little bit more breathing room over the coming years. But can you just speak to your confidence in remaining in compliance with that and perhaps touch on some of the assumptions you have for the business that kind of underpins that confidence? 
Mariela Matute: Yes, so we have a very supportive bank group with our – across our negotiation process. We have a plan to continue to produce EBITDA in this company and better EBITDA than the past year of 2022, plus cash generation from our working capital management, as well as our re-engineering plans that will produce benefits in the years to come as we continue to right-size this company and place Tupperware products in all the channels where consumers look for them.  So we expect to continue to generate cash as a company and then the bank agreement will now allow us to continue the turnaround plan for the year 2023. So as of today, we are confident that we will be able to operate without a substantial doubt in 2023.
Chasen Bender: Got it. Thanks for that. And then, just switching gears, I believe on the pricing side, you've mentioned further price increases expected in '23. Just wanted to confirm if that's still the case. And if so, can you kind of wrap some color around what the magnitude of those increases might be?  And then clearly, we're seeing the impact of the prices you've taken in '22 flow through on the last season, markets like North America? But perhaps you can dimensionalize how less of these have shaped up compared to your expectations. And how do you think about managing the trade-off between the two?
Miguel Fernandez: So, Chasen, again, Miguel here. So basically, 2022 was a really tough year from the pricing point in the U.S. As you know, we had inflations everywhere in the world, really high. We took even a double-digit price increase in countries that we've never – we haven't taken a price increase in ten years. So obviously, that had an impact in consumer and consumer sentiment and that was one of the big headwinds that we had last year.  This year, which is very different, we are going back to our normality of price increases, which in the countries that they have higher inflation, this is what we've been doing for years, so we don't expect anything different.  In the ones that we haven't taken or we traditionally take less than 5%, we're going to take less than 5%. We feel that we're already protecting our margin. We're in a good space. The variations that you see are perhaps either country mix or product mix, but we're in the range that we want to be in. So that is one of the big headwinds that we're going to have in 2023. 
Chasen Bender: Got it. I appreciate that color. And sorry, just one last one, and I apologize for being a hog. I get that the expansion to Target and some of these omni-channel efforts are still relatively small and I get that they were structured originally in such a way that they would be augmentative to the additional efforts from the sales force. But now that the product has been on shelf for effectively a quarter, has there been any change in sort of behavior or attitude from the sales force members now that they are, in a sense, competing with Target? And I get that competing is not exactly the word, but now that the two are effectively live and product is available at the same time. 
Miguel Fernandez: So you're right, competing is not the right word. I think it's for us is a learning and it's balancing. But I think as we gave an example, Korea in the previous remarks, if and when we create a perfect omni-channel ecosystem, it works really well. I mean, some of them obviously grow more than other ones. In terms of the U.S., the products that we've chosen are just a couple of them are very similar, but other ones are products that we never sell in the U.S. And some of them are heritage lines, which are the top sellers that we used to sell them in the U.S., but long time ago and this is the way we want to operate because it brings brand relevance. And it's like, I'm going to call it, paid advertising because we obviously we made – we want to make money in these retailers, but also it brings the Tupperware brand and that iconic brand that we have brings it to the mind of consumers that we're not accessing right now. So, it's a matter of time to get there.  But you got to remember that our sales force, they normally, on any given month, they sell over 200 different SKUs, whereas we have a very limited amount in Target. Right now, Target is, I am going to call it, probably 1% to 2% of our sales and 98% is coming from direct selling. So it's – obviously, it's a journey and we're going to continue to learn. But right now, Target has such low penetration that is – we haven't seen any change in the behavior of our sales force. 
Chasen Bender: Got it. Appreciate the color. Thanks, Miguel. Thanks, Mariela. I'll pass it on from here. 
Operator: The next question comes from the line of Linda Bolton Weiser. 
Mariela Matute: Linda?
Miguel Fernandez: I'm sorry. We cannot hear.
Doug Lane : Operator?
Miguel Fernandez: It might be on our side. Check on our side. 
Doug Lane : No.
Mariela Matute: Maybe Linda can redial. 
Doug Lane : Operator, can you hear us?
Operator: Yes. I do apologize. I just had technical difficulties.
Miguel Fernandez: But we cannot hear Linda.
Operator: Her line is open.
Linda Bolton Weiser: Hello? Can you hear me?
Miguel Fernandez: Hi, Linda. Yes, Good morning.
Linda Bolton Weiser: Nice to hear you. So can you just comment on the cost environment, because actually, a lot of the cost elements are starting to come down, I don't know if you're seeing plastic resin actually coming down or not and things like freight and shipping. Can you just kind of comment on kind of what you're seeing on that side of things? 
Mariela Matute: Yes, Linda, we had in average in the Q4, we still saw an increase in input cost and I think it was driven by some logistics disruptions we have when China opened up, as well as our plans to improve service levels across the Tupperware ecosystem. For 2023, we are expecting some of our resin cost to go down, as well as our supply chain logistics cost in line with what you're seeing in other industries. 
Linda Bolton Weiser: Okay. And then I think in the past, Mariela, maybe you had mentioned or talked about a little bit like some IT investments in things like that that needed to be done in the company. What are your thoughts on that? And are there – do you have a thought on what capital spending might be in 2023? 
Mariela Matute: Yes, so, we continue to prioritize our investments and balancing our decisions with our desire to delever this company and reduce debt over time. We put some CapEx plan that is similar to what we executed in 2022. And some of those investments are dedicated to upgrading our digital infrastructure to allow our sales force to transact online, as well as upgrading our network internally to be global and standard and those investments continue from time to time.  We may slow down the pace to balance our obligations with our debt holders, as well as other commercial investments with the plan continuously in them.
Linda Bolton Weiser: Okay. And then, are there any thoughts – I did see your product at Target, and it looks very nice, and it was a nice array of SKUs and then the next time I went to see, it was all gone off the shelves and then I didn't see it replenished very quickly. So, have you done so well at Target that you're having trouble actually keeping the supply replenished or like how is that going? 
Miguel Fernandez: So, it's going really well. It's going better than their expectations and our expectations. We know that we've been fulfilling Target the way we agree with. So every time the POs come in, we're being -- obviously, it's a big priority. It's a high priority for us. So, I think it might have been in that sort of a little bit of a logistic issue within Target. It might have been probably back luck. But yeah, I mean things are going well, really well for us in Target. 
Linda Bolton Weiser: Okay. And then, can you just maybe give a little more color on the North American decline, because you did make some comp plan changes and I know it was like a matter of time before those kind of got settled out and stuff. So, is that still in place, the comp plan change? And like can you just give some color on why that was so disruptive and then, is it going to get better or kind of what's the situation there? 
Miguel Fernandez: So, obviously, we believe it's going to get better and it's going to be better from many points of view, but this is what I call sustainable growth from profitable growth. So the way it was designed before was that every time we grew, our variable cost grew just as much. So we couldn't capitalize on the growth in terms of bottom-line.  So we made a few changes on the compensation of the top leaders, which obviously has an impact on their under morale and their attitude. We believe we're still compensating pay friendly and competitively compared to other companies and the other big change came from the little guys, so the guys that are just beginning.  When we were in COVID, we implemented a visual kit, which was pretty much almost free to get into the business and immediately it would get 25% of discount, which is the maximum discount. So basically, that is a friendly proposition for our consumer, but not a friendly proposition for a person who is starting a business because, obviously, everyone has access to that 25% discount, so I don't have the space to make money.  So that was the other change we made. We eliminated that virtual kit. Obviously, our recurring numbers are going to go down, but the recruits that we are going to have are business-oriented people, where they're actually going to make money. And we believe that as the new people start making money, then eventually it's going to benefit the top guys. They are going to have higher volume and they're eventually going to go back to the absolute dollars that were making before. Obviously, the return on sales, and the profit on the margins in the U.S. look much better right now than they used to look six months ago. We took a hit on sales, but now we have a solid foundation to build a profitable, sustainable business.
Linda Bolton Weiser : Okay. Thank you. That's helpful. I guess, that's all for me. Thank you very much. 
Miguel Fernandez: Thank you, Linda.
Operator: There are no further questions at this time. I will now turn the call over to Miguel Fernandez for closing remarks.
Miguel Fernandez: Well, thank you very much for being with us this morning. Looking forward to seeing you in three months. We are going to continue to build this company to where it belongs and make the business as big as our brand.  Thank you very much. 
Operator: This concludes today's call. You may now disconnect.